Operator: Good morning, everyone, and welcome to the Grupo Televisa's Second Quarter 2022 Conference Call. Before we begin, I would like to draw your attention to the press release, which explains the use of forward-looking statements and applies to everything we discuss in today's call and in the earnings release. As a reminder, this call is being recorded. And I would now like to turn the call over to Mr. Alfonso de Angoitia, Co-Chief Executive Officer of Grupo Televisa. Please go ahead, sir.
Alfonso de Angoitia : Thank you, Paul. Good morning, everyone, and thank you for joining us. With me today are Pepe Antonio Gonzalez, CEO of Cable; Luis Malvido, CEO of Sky; and Carlos Phillips, CFO of Grupo Televisa. During the second quarter, Grupo Televisa's consolidated revenue reached MXN 18.5 billion, representing year-on-year growth of 0.3%, while operating segment income reached MXN 7 billion equivalent to a year-on-year decline of almost 5%. Revenue growth at our residential operations in Cable and our other businesses segment was partially offset by declining revenue at our enterprise operations in Cable and Sky. Pepe Antonio and Luis will elaborate on the operating and financial performance of each of our core consolidated segments in their remarks. But before, let me say that since the last time we spoke, the global economy has gone through significant changes. GDP growth in the U.S. and Mexico is expected to slow down. The global economic outlook should remain challenged in the near future, while the thoughts of a global economic recession have increased. We will continue to monitor the evolution of macro variables and we'll not hesitate to act decisively, taking necessary measures to preserve free cash flow in the event a further deterioration of the economy as has been the case in previous macroeconomic downturns. It is important to highlight that we have already identified and presented to our Board in yesterday's meeting, the levers we will pull in every single business where we offer it in the event of a recession. As you may recall, during the COVID recession in 2020, excluding the other businesses segment, as most of them were fully closed for a significant portion of the year, Grupo Televisa's segment revenue and operating segment income for our 3 core operations grew by 2% and 2.1% year-on-year, respectively. We achieved this resilient operating and financial performance by implementing an aggressive cost reduction plan, which translated into MXN 2.2 billion in savings or the equivalent of 3.6% of our OpEx structure. Despite a more challenging global economic landscape, we firmly believe that we have a stronger footing than ever following our merger of our media content and production assets with Univision as our streaming portfolio is fully complete and very well positioned to capturing the massive global streaming opportunity. And because both Grupo Televisa and TelevisaUnivision have much stronger balance sheet than in the previous global economic downturns with leverage ratios of 2.2x and 5.5x, respectively. Moreover, we are confident that we will continue to deliver strong revenue growth at TelevisaUnivision and resilient operating performance at Grupo Televisa during the second half of the year. Despite a higher probability of a recession, we still expect growth in 2022 to be back-ended loaded both at TelevisaUnivision and Grupo Televisa driven by several factors such as the monetization of the World Cup rights, increased advertising spending in Mexico due to the Qatar World Cup during the fourth quarter, mid-term elections in the U.S., solid RGU net adds in the remainder of the year at Cable and closing pending contracts for new projects at our enterprise operations. Now let me walk you through TelevisaUnivision's solid second quarter results released yesterday morning. The company delivered another outstanding quarter with revenue of $1.1 billion, growing 11% year-on-year on a pro forma basis, while EBITDA of $373 million, declined by 8% as streaming investments ramp up, following the launch of the ViX AVOD service on March 31 and ahead of the ViX Plus SVOD service launched on July 21. Moreover, during the first half of the year, TelevisaUnivision's revenue has increased by 11%, while EBITDA has just declined by around 1%, a remarkable achievement considering the launch of ViX and ViX Plus, which illustrates the power and uniqueness of our combined assets as well as the focus and discipline of our execution. During the quarter, revenue growth at TelevisaUnivision was driven by strong increases in consolidated advertising and subscription, and licensing revenue of 11% and 10%, respectively. In the U.S., advertising revenue increased by 11% as we continue to benefit from the '21/'22 upfront, which delivered the highest growth in volume and pricing in history. In addition, the TelevisaUnivision experienced strong demand for advanced marketing solutions in the U.S. and the highest scattered pricing for our company in history. In Mexico, advertising revenue increased by 14% year-on-year as the record-setting 2022 upfront produced strong client demand with 7 of the top 10 advertising categories growing their spend during the quarter. Moreover, our number of clients in the second quarter was the highest on record. Subscription and licensing revenue increased by 10% in both the U.S. and Mexico. This growth was primarily driven by the new contract with YouTube TV signed in mid-September 2021 and pay-television subscriber growth and higher prices in Mexico. Moving on to the performance of our content. In the U.S., our total market share, our primetime audiences went up to 7% in the second quarter from 6.8% during the same period of last year. Moreover, our share of Spanish language primetime viewing rose 40 basis points to 62.2%. In Mexico, our free-to-air television share of primetime audiences from Monday to Friday increased to 58.4% from 55.9% during the second quarter. In the second quarter, 19 of the top 20 programs on Mexico's broadcast television were produced and transmitted by us. Also, we broadcasted 8 of the top 10 most-watched soccer matches in the quarter. Moreover, the audiences of our free-to-air networks are higher than those of our peers on free-to-air and pay-television networks combined. While our linear business continues to deliver great success and outperformed the market, we could not be more excited about our streaming business and that enormous promise we have made over the last 15 months. Our AVOD service ViX has been live for its first full quarter seeing substantial success with our streaming ad sales efforts, onboarding new streamline only advertisers, while selling ViX into our linear ad buyers. We are very excited about the early results we have seen at ViX. We set some aggressive goals in terms of users and engagement and both have been performing better than expected. We have great momentum, but it is too early to draw conclusions on trends from these results. We are just 1 quarter into this journey, and we are very excited about what we are achieving so far. Looking ahead, we just closed another incredibly successful '22/'23 U.S. upfront. On the heels of a strong comp from last year, volume grew double digits to the highest level we have produced in 7 years. For the second consecutive year, pricing held in line with the market in the high single-digit range. This follows years of price discount in Univision and starts to take the value of our content back to the pricing levels where it belongs, made possible by the work we have done to reinvent our ad sales function and the strong momentum of our content. Importantly, we grew in both linear and speed. Unlike other media companies, we were able to leverage growth in ways [indiscernible] on linear. Demand from ViX came from our existing linear advertisers, where the bundle rates approached an outstanding 70% as well as from new digital-first advertisers. Capturing digital budgets where there is secular growth in ad dollars is a huge opportunity for us, and we're executing on it. Our early success is also solid proof of the quality algorithm we made with these new products and new brands. July 21st marked another milestone from our streaming service with the launch of our completely new SVOD service ViX Plus, featuring more than 10,000 hours of ad-free premium entertainment programming in its first year and up to 7,000 hours of live sports with a monthly price of $699 in the U.S. and MXN 119 in Mexico. We just announced our first 2 original series, Maria Felix: La Dona, and La Mujer del Diablo and both are already receiving great reviews in the press. We're also taking the best theatrical slate of 2022 from our own studio, Videocine and putting them exclusively on ViX Plus. ViX Plus completes our comprehensive offering of 3 distinct platforms, including linear, digital and audio. We are unique in the industry and that our streaming service is truly complementary to linear. Our linear business is healthy, and we're not looking to cannibalize that. Rather, we have the content library, corporate production capabilities and sports rights to fuel content on 3 distinct platforms. Now let me turn the call over to Pepe Antonio, CEO of Cable.
Pepe Antonio Gonzalez: Thank you, Alfonso. During the second quarter of 2022, the residential operations of our Cable segment continued its solid turnaround in operating metrics for a third consecutive quarter, which started to translate into residential revenue growth acceleration. In terms of net adds, the second quarter added 304,000 fixed revenue generating unit, RGUs. The second consecutive quarter over 300,000 and on top of that, 21,000 mobile RGUs. The quarter closed with 15.2 million total RGUs, 15 million fixed, 200,000 mobile. These results -- these increases are the highest since 2018, excluding the pandemic. We are seeing record levels of monthly sales driven by the realignment of our flagship products, the home pass expansion plan we implemented last year and is streamlining of our sales processes. The aggressive actions in our customer retention program, including increasing broadband speeds for selected products in our customer base and a marked improved earning quality of our network have allowed us to keep churn stable. Video continues to be a success story. For the third quarter in a row, net video adds remain at record levels not seen since early 2018. We added 79,000 video RGUs during the quarter with triple-play packages accounting for close to 2/3 of our sales, while strengthening our retention programs. In broadband, we picked up the pace of Q1 and added 78,000 RGUs for a total of 5.8 million. Broadband continues to be the highest margin service, so we continue to enhance its product offering, and we are seeing an increase in double-play care. The strong operating metrics in the residential segment already started to translate into gradual revenue growth acceleration. Our residential segment revenue growth improved from 3.4% in Q1 to 3.8% in Q2. This has been coupled with cost efficiency projects, which have allowed EBITDA to grow faster than revenue. EBITDA growth accelerated from 4.3% in Q1 to 5.0% in Q2. In the case of the enterprise operation, which accounts for around 12% of our Cable revenue, the results show the effect of a very tough comparative days last year in which we had the Red Jalisco project. If we exclude this effect, revenue would have grown 1.7% versus a headline number that shows a decline of 18.8%. As a reminder, Red Jalisco was a project developed for the government of the state of Jalisco to build a fiber network owned by the state. Despite the challenges to grow our enterprise revenue during the first half of the year, we are confident that we will experience a strong recovery in the second half with year-on-year growth in the low to mid-single digits as we close new projects. Over the coming quarters, we expect residential RGU net adds to remain solid at similar levels to go through the last few quarters, while residential segment revenue growth acceleration keeps improving gradually. And the cycle of ongoing projects and incorporation of new ones to translate into stronger enterprise segment revenue. Before turning the call back to Alfonso, let me say that we are confident that the expansion to selected locations last year has allowed us to deliver solid operating results and should continue to do so in the remainder of the year.
Alfonso de Angoitia: Thank you, Pepe Antonio. Now let me turn the call over to Luis Malvido, CEO of Sky. Before that, let me say that Luis took over as CEO of Sky this year, and he has done a wonderful job in putting together a turnaround plan, a strategic plan, he is going to share with us the details of that plan, which was approved by the Board of Directors of Sky 2 days ago, and he has put together a new team of executives that are just great. So Luis please take us through your plan.
Luis Malvido: Thank you very much, Alfonso. Today, I will share with you the key highlights of the strategic program as well as some examples of the initiatives that are already in progress. After this, I will provide an overview of our second quarter operating and financial results. Moving into our strategic program. We have developed a new vision for Sky that consisting 3 elements: first, strengthening our core, the core of our business, digitalizing with simplification program; the second is to evolve our core to become an OTT aggregator; and third, expand the core beyond the core. To deliver on this vision, we've structured a strategic plan upon our 4 pillars: revenue growth, customer life cycle management, high-quality content and products; and fourth, and digital transformation, simplification and efficiency. Starting with our first pillar, revenue growth is our main priority. We plan to expand our top line by revamping our commercial strategies in key markets, reinforcing sales channels and leveraging on strategic alliances to boost our telecom revenue stream. Our transaction was to conduct a thorough assessment on the pay-TV market in Central America and our operations in the region. Central America is a massive market with over 60 million people and a vast rural population, ideal for DTH with low pay-TV and broadband penetration. Altogether, Sky currently has less than 150,000 customers in these markets, represented less than 3% market share. Clearly, this is a growing market. We have an outstanding opportunity to gain market share and grow in the region. Our strategy aims to strengthen the commercial operation in selected countries that are attractive in terms of market size, growth potential and macroeconomic stability. We selected 5 out of the 7 countries, which we are present. Implementing a sound operational revamp and refocusing commercial labor will allow us to increase consolidated top line by about 5% in the next 3 years. Another significant opportunity comes from strengthening sales channels in Mexico. During the second half, we took control for all digital channels, as previously mostly led by our master dealers. We also introduced artificial intelligence tools to optimize other sizing investment and increased sales, while improving overall customer experience. Additionally, we implemented Oracle Field Service to manage the installations order and to improve installations to sale ratio. In the first 6 weeks from launch, we started to see material improvements from the initial 63% to our target of 90%. This initiative is part of our plan to evolve from the mix, from the current situation where 90% of our sales come from personalized door-to-door channel, to a new mix where digital channels, telemarketing and retail point of sales will represent 40% of total trading. We sit together with the new commission model that we'll explain later on, will allow us to put product base from the current 90-10 prepaid to postpaid to much richer mix of 70-30 again, prepaid-postpaid. As a result, we expect gross ARPU and early change to improve significantly. In terms of the strategic alliances to increase Sky telecom revenue streams in the second half of this quarter, we will launch a new mobile service built over AT&T network. AT&T has a robust and reliable network with competitive 5G coverage and is a leading player in the mobile industry. Our initial addressable market will be Sky postpaid customers, and we plan to offer competitive individual and family plans with attractive cross-promotions, leveraging on our video assets. Regarding our alliance with Altan for fixed wireless, during the second quarter, Altan completed its financial restructuring process and have new management team. We expect Altan will gradually improve its service and network scrutiny. This would allow us to reverse the recent negative trend on the fixed-wireless business. We are also exploring our partnership alternatives to offer a competitive high speed broadband services to our pay-TV customer base. I expect to provide further details on this in the upcoming quarters. Moving to the second strategic pillar, customer lifetime cycle management. We aim to become a customer-centric organization to anticipate customer needs, expectations and desires to maximize lifetime value. We have created a dedicated team and have built the technology to keep interest rate and act on data at each stage of the customer journey. As part of that effort to improve customer experience, we are working to radically redesign user interface and user experience of our mobile app and web pages to better align digital channels into customer needs and expectation and maximizing conversion. In addition, as the first step towards this target, we implemented a new digital customer care channel via WhatsApp with both live and automated bot response. In less than a month, 14% of contacts with postpaid customers is handled out by WhatsApp and we expect this percentage to reach 50% by the end of the year. Another way to improve customer satisfaction is to provide a comprehensive retail service to prepaid customers. Therefore, we went through an in-depth analysis and an interactive service operation. We found that is by having 5x more prepaid and postpaid customers, we provide a similar number of prepaid service to both prepaid and postpaid customer segments. This is mainly due to the complexity of our inbound call routing process in prepaid as well as service fee we charge these customers well. The impact of service generates customer business interaction, leading to customer attrition and redundant sales that require significant investments. By improving this prepaid service, we will incur additional expenses, of course, but will reduce churn and save significant sales and installation costs. We launched this trial last month, and we are starting to see the benefits of reforecasted. With these results, we estimate that the net effect could generate annual savings of around MXN 300 million. To address the last stage of the customer lifetime cycle, we have developed a churn management framework based on data analytics, customer segmentations with cost analytics, churn categorization, KPI and a recently created [indiscernible] team to manage the process. I look forward to start reporting better trends in churn, drivers in the coming quarters. Moving now to the third pillar, highly quality content and product, Sky must maintain its status as a key player in the pay-TV market, mainly positioned as the ultimate story content provided in the region. To this end, as I mentioned in our previous call, we secured an exclusive right for several important software properties, including the rights of the Spanish La Liga and Copa del Rey, all UEFA national teams, tournaments and also Bundesliga. Sky will also be the only platform with complete coverage of all matches of FIFA World Cup Qatar 2022 at the end of the current year. We will use this opportunity to reposition our brand and become the first pay-TV operator to offer 4K content in Mexico. We will make [all work thematics] available for free to the entire customer base in both DTH and Blue To Go platforms, only subject to registration. Our goal is to put loyalty, reduce churn, increase recharges and promote the OTC platform. We'll also take advantage of this opportunity to enhance customers' contact information. To this end, we have revamped Blue To Go by adding linear channels to the lineup, improved user interface and plan to continue enhance this progress before the opening up of the World Cup. Furthermore, in Q1 2023, we will evolve Blue To Go mobile app into a full OTT operator as aggregator. This new platform will provide streaming service, including our current linear offering, all Sky exclusive content and also aggregate content from other streaming players with a seamless experience throughout the connected box. This platform will be the flagship for Sky [indiscernible]. Moving to the last strategic pillar, digital transformation, simplification and efficiency. This year, following the philosophy of going digital, stop doing, doing cheaper and doing better, we will carry out an end-to-end process review, searching for the opportunity to reduce expenses in order to protect margins and reallocate resources through strategic priorities. The first process we identified is sales. The automation of sales processes is perfect tool to achieve efficiency through digital technology. Currently, our sales process is completely manual. Paper contracts and photocopy supporting documents are mandatory for customer onboarding. This harm customer experience generates all kinds of operational inefficiencies, progress and lack of console. To address this change with the challenge we are in the process of implementing sales force and another digital platform with this implementation will release operational performance improvements, lower cost and limited errors that will start to be tangible in early Q4. One of the largest efficiency opportunity, Sky comes from changing its sales commission model. The current commission scheme rewards sales volume with small focus on quality. Full commission is paid in advance, and bonuses are mostly driven by volume, not quality. As a result, sales quality has significant room for improvement, mainly in prepaid, but also in postpaid. To picture the claims of the size of this opportunity, 37% of prepaid gross additions have less than 2 resources within the first 6 months. This new simplified value-based commission model will reward sales quality. The new commission scheme based on a revenue share model will create incentives to dealers to enhance product mix, while improving customers' tenure. I will now shift to discuss our operating performance. During the second quarter, we implemented several initiatives to improve sales quality, which had an impact on gross adds levels. In April, we discontinued Sky cross-selling postpaid package, [SkyBafico] and standard definition and double-play package due to its very high early churn. We understand that this is -- these new customers' reaction was due to lower-than-expected broadband fees and low standard definition video quality. We temporarily repaid it by launching HD Gold, a package that is a promotional price and recently in July, we produced Sky Silver HD only in single play version to address customer impacts. In addition to further improve sales quality, we produced a new variable sales commission plan, part of the compensation to customer payments. As an extension of that decision, we also discontinued postpaid double-play bundles due to high churn levels. Besides [indiscernible] we launched several attractive promotions during the quarter. In prepaid, starting June, customers get 15 days of additional package paying only for 30 days or 30 days in subscribing to a double-play package. In postpaid customer base restrictions described to give -- subscribe all to get 3 months of Sky Platinum having access to platinum content. In broadband, Altan financial struggles leading to a tangible delay in investments, not only effective churn but also sales. In Q2, we experienced a deceleration in sales due to lack of available areas where to promote our service. As I mentioned before, Altan recently completed its financial restructuring process. This should allow Altan to gradually improve its service and network postpaid which in turn, should allow us to continue expanding our [indiscernible] business. On the cancellation side, in the second quarter, we experienced an increase in volume that is a result of pandemic activation spike and low-quality additions during the second half of last year. As a result, we lost 256,000 RGUs in the second quarter. Furthermore, in July, we discontinued our prepaid reactivation promotion called last call because it's no longer covering its operating and content cost. This decision will generate up to 450,000 cancellations in the third coming quarters, but with no impact on revenues or EBITDA. In terms of financial performance, revenue declined 7.7% compared to last year's second quarter, driven primarily to lower prepaid recharges and decline in postpaid customer base in Mexico and Central America. Operating segment income fell by 23.9% due to lower revenues and an increase in costs and expenses due to -- primarily to the amortization of MXN 120 million in the World Cup rights. Excluding these rights, operating segment income fell by [18.6%]. And before turning back to Alfonso, let me emphasize that this is a transformational year for Sky. The implementation of our strategic program, together with the non-recurring costs and expenses related to the World Cup should make this year look particularly weak. Still, we are confident that next year, we will experience a strong return, especially at EBITDA and free cash flow levels.
Alfonso de Angoitia: Thank you, Luis, huge challenges, but more importantly, huge opportunities ahead of us at Sky. To wrap up, Bernardo and I remain confident about our growth prospects for 2022. At TelevisaUnivision, solid operating and financial performance during the first quarter -- sorry, during the first half of 2022, the very strong upfront announced both in the U.S. and Mexico, the new licensing contracts with virtual MVPD in the U.S., the Qatar World Cup and the successful launch of our global streaming platform should allow us to deliver double-digit revenue growth for the second consecutive year. And at Grupo Televisa, the ongoing strong RGU net adds momentum should continue to gradually accelerate residential revenue growth at Cable over the coming quarters. While after entering by segment of Cable and Sky have been facing challenges, we're convinced that the tactics and strategies to be implemented over the coming quarters should contribute to achieve our medium-term goals. Finally, as we presented to our Board yesterday, we are ready to take necessary measures to preserve free cash flow once the economy deteriorates as has been the case in previous macroeconomic downturns. Now we're ready to take your questions. Paul, could you please provide instructions questions for the Q&A.
Operator: [Operator Instructions] And our first question today will come from Alejandro Gallostra with BBVA.
Alejandro Gallostra: I have a couple of questions. The first one is regarding the MSO operations in Cable. We're seeing good growth rates, along with good net additions. So I'm wondering if this is a turning point in this business segment, and if this growth is sustainable going forward? And my second question is about Sky. The revenue and EBITDA decline has been accelerating this year. So is it reasonable to assume that this trend will continue in the second half and potentially in the first half of next year? Or you have a marketing strategy in place to reactivate subscribers as we approach the FIFA World Cup in Q4? Or how long should it take for the new business turn to translate into revenue and EBITDA growth?
Alfonso de Angoitia: Thank you, Alejandro for your question. I'll ask Pepe Antonio to answer your first question. It has to do with MSO growth rates. Indeed, we're very happy with the net additions we have experienced in this quarter and last quarter. And I'll ask Luis to answer your second question about Sky trends and the immediate future for our operations at Sky.
Pepe Antonio Gonzalez: Thank you, Alfonso. Thank you for your questions. We believe that these growth rates are sustainable. The significant turnaround that we have seen in the operating metrics has been driven by a few factors. First, the realignment of our flagship products as well as the home pass expansion we implemented last year. We analyze our product offerings across regions, against our competitors and made our products more attractive. So we believe our different products are finding their sweet spot in the market, and we think it's a sustainable level somewhere in between the last 3 quarters. Let me give you a few -- a bit of color on this. On the sales part, over 2/3 of our sales are triple play. This means our product needs are approaching the correct one, with record levels of triple play sales. Our sales force is running very strong. Sales remain at record high levels with monthly sales only surpassed by a few months during the pandemic. We have simplified our micro and small and medium enterprise product offering to make it very simple, and we have seen very encouraging results only in the last month. On the retention side, we went to the root process of our churn. We increased our network quality. For example, our saturated interfaces are back to early 2020 levels. And we've had a series of initiatives to improve the client experience. For example, client calls to our call centers have been reduced by 200,000, about 20%. We are -- we continue to progress on our digitalization process. We have a client help center web based, that started only this year and started with 100,000 interactions. And in the last month, it was over 450 visits in the last month. We simplified our monthly bill. Our sales gap has meant that we are losing fewer customers because we have gone completely electronic, and the requirements are leaving less mistakes and less documents, less documents is required. And finally, we have increased broadband speeds for 5 products that have added up to 2.2 million clients, which is 35% of our day. So we think all of this going forward, we hope that this will continue -- that this rate will continue, and we believe the expansion of our footprint will allow us to maintain solid net adds.
Alfonso de Angoitia: And Luis as to the second question, it has to do with Sky trends and the second half of this year.
Luis Malvido: Yes, sure. The second half will bring the World Cup for Sky really material. We -- currently, we have our prepaid customer base topping up about 65% of them every month, and we are very confident that this percentage will go significantly up because of the need towards these matches. We will also make available the World Cup in the -- in our Blue To Go platform, and the condition will be, as I said, in the speech to identify customers, which is not one of our main assets these days. We will have better information of our customers. We will understand the behavior. And especially, we'll have the tools to make them or show them promotions to [indiscernible] and to continue with that. For this reason, the World Cup will significantly improve our top line during the second half, and we are ready to take advantage of that. At the same time, another opportunity coming in the second half that will have some impact on this year, but mostly next year will be the new commission scheme and the digitalization of sales processes. And this is due to the fact that we will regard our sales channels. We are planning to -- with the new commission scheme to be more focused on postpaid and postpaid would bring not only lower churn, but also a higher ARPU. And this will start to be visible in Q1 next year. Altogether, the channel mix and the new commission will allow us to make more predictable revenues, bringing more postpaid and, of course, more value. At the same time, in the -- for the coming year, we will be seeing the new mobile operator that we are launching in next September. As I said, that this service will be based on AT&T network, and we are very trusted that it would be very well accepted by our customers. This is -- we know we understand that this is a very competitive market. However, we will be offering a very attractive package to our own customers, to our own -- initially to our own postpaid customers with cross-selling promotions and we are very sure that will bring incremental revenues to Sky. As I said, top line opportunities come mainly from this kind of beyond the core opportunities. And this one, in particular, will bring something between 3% to 5% revenue growth in the next 3 coming years, which is, again, very material. And I also mentioned that the turnaround in Central America, where at this moment, we are dropping in gross adds, dropping in RGUs and of course, a significant drop in revenues in the region. With our strategy, we'll turn around and the results will start being visible even this year, but that will bring significant impact on next year's top line.
Alfonso de Angoitia: Thank you, Luis. Adding as to what Luis has mentioned, I would say, I mean this is a year for the turnaround of Sky, it will be a weak year and we’ll see the results of all the initiatives that Luis described in the next year.
Operator: And our next question will come from [Lucas Base] with UBS.
Unidentified Analyst: So we noticed a large contribution from income from JVs and associates. And what is the normalized level going forward? And can we assume TelevisaUnivision will be the largest contributor to that line? And one follow-up here. How about corporate expenses? What is the normalized level?
Alfonso de Angoitia: Thank you, Lucas, for your question. I'll ask Carlos Phillips to answer it.
Carlos Phillips: Lucas, you're correct. In terms of the share of income from associates and joint ventures, the largest share comes from TelevisaUnivision, that's pretty much the majority of that line. And the increase, as you know, after the transaction, there were 2 large effects. The first one is, the share grew from approximately 36% to 45%. We also do it in a larger company because after the transaction, we have 35% of Univision. Now we have 45% TelevisaUnivision, which is a larger company with larger earnings. So that's part of the effect. The other one is, as you know, we have a preferred shares in the company that pay a dividend. That's also part of that line item. The normalized size of that line is going to be -- it's going to be dependent on what the earnings are at TelevisaUnivision, obviously, as we get a share from those. And the only one that would be recurring and kind of predictable, I guess, would be the dividend we received from the preferred equity, which is approximately $41.25 million per year. And in terms of your second question in terms of corporate expenses, the -- as you could see, we had a reduction from last year's quarter of approximately MXN 95.8 million. The largest component in these corporate expenses are obviously our corporate overhead. The PTU, which is the employee profit sharing in Mexico and the employee share-based compensation. And we don’t expect any large movements in this line item. And just one thing to keep in mind is that the [indiscernible] share-based compensation is a non-cash item.
Operator: And our next question will come from David Joyce with Barclays.
David Joyce: Glad to hear about the near detailed plan for Sky. Where do you expect there to be a larger opportunity from here with these -- with all of these changes more so in Mexico or more so in Central America, where you've had that stagnant level of subscribers over the long term? And then also, I was wondering how the global operation, the MVNO on the Cable side will be developing given these -- the changes with Altan as well.
Alfonso de Angoitia: Thank you, David. As to Sky's opportunity, I would say it's both in Mexico and Central America, and Luis can add to that.
Luis Malvido: As I mentioned, Central America is a huge opportunity. Now is very small compared to the size of our business in Mexico, but we believe that we can double revenue there in 3 to 4 years, which is very relevant for the entire company. However, Central America is still small, so even doubling will represent, as I said, up to a 5% impact on top line in the business. Having said that, Mexico is our core business. And anything we do here will have a tremendous impact on the long-term value. So as I said, opportunities come from -- in Mexico come from top line, but also from -- in EBITDA and cash flow. In terms of EBITDA, savings will come from the simplification program that we are starting and opportunities there are massive. Sky has been a very successful company for decades. And we didn't pay much attention to processes because the important thing during this decade was to be fast and to grow. Now it's the moment to review processes, the way we do things to digitalize processes and out of that, we will bring significant savings to the company. At the same size, all the efficiency in the sales process will bring not only OpEx savings, but also significant CapEx. Currently, we are -- in this year, we are pushing down CapEx from the $257 million spent last year to below $220 million. And we are very confident that next year, we can even reduce that figure in order to protect and even grow in cash flow.
Alfonso de Angoitia: Sky generally is a fantastic asset. It generates free cash flow. It's a company that has a great brand recognition in Mexico. It has a huge offering of content. It's the platform that has more sports content, relevant sports content in Mexico by far. As Luis mentioned, it has exclusive rights to the Spanish La Liga and Copa del Rey, which is huge in Mexico. All the UEFA national teams tournaments and now the Bundesliga. So in terms of sports offering, it's #1 by far. It has a national footprint, of course, has a national installation team. So it's an amazing asset, and we have to, of course, stabilize it, and we shared with you all the turnaround plans. And we believe that next year, as we pass, I mean, of course, we're amortizing the cost of the World Cup, EBITDA will start to stabilize next year and we'll start generating additional revenue and EBITDA.
Carlos Phillips: Alfonso, let me add something which is very relevant when it comes to particularly next year. If you want next year, we will launch, as I said, a new platform, an OTT aggregator. And this is not only a new door for new revenue streams, but mostly to protect our customer base. We know that we are every day challenged by cable operators offering broadband and also TV in the bundle. And as we don't have this service, we've struggled many times to protect our customers. For this reason offering, this Android box will be able to offer to our existing customers initially, this box to protect these customers due to the context that Alfonso has explained, because we are very -- our customers still recognize that nobody has a better company than us in the market. But now we did box and saving all the CapEx and OpEx related to the installation of DTH services and kids will allow us, first, as I said, to protect customers, but also to save a significant amount of OpEx and CapEx. The DTH kit is very expensive, and we spend a significant portion of our CapEx in installations of new customers. During this, we will spend this amount of CapEx, and we're still in the process of quantifying the impact because it is a new service, and we need to -- still need to quantify the size of the opportunity, but we are very confident in saving a significant CapEx and OpEx with this new project.
Alfonso de Angoitia: And David, as to your second question and had to do with the MVNO offerings, I'd like to ask Pepe Antonio to answer that.
Pepe Antonio Gonzalez : Thank you very much. As you may know it invested in MD&A platform in an infrastructure. This -- we see it in the final stages of tests, literally the final weeks of tests. And we believe this will provide us with a tremendous amount of flexibility. Right now, the MVNO service that we have with Altan restricts us in many ways, most notably the choice of cell phones. So in the next couple of months, we will have a relaunching of our mobile services through this MVNE platform that I think will be promising and we'll be giving more details in the next one call.
David Joyce: Great. And if I could, just one more quickly on the FX impact on your balance sheet, revenues and expenses since there's been some movement there. How should we think about -- how should we think about that going forward?
Alfonso de Angoitia: Thank you, David. I'll ask Carlos to answer.
Carlos Phillips: David, as you can see in our press release, during the quarter, we had a MXN 552 million foreign exchange gain. This is due to the net dollar asset position that we have on our balance sheet. This used to be a little bit different. But as a result of the transaction, as you know, we have a large cash balance that’s dollar denominated as well as investment in Univision, which is dollar-denominated as well and pretty large. So this quarter, we had a depreciation of the Mexican peso, against this net asset position, net dollar asset position we had again. So that’s on the balance sheet side. In terms of the inflows and outflows, as you can imagine, after the transaction, most of our inflows from our operations are peso-denominated. We have certain dollar-denominated flows from some operating contracts with TelevisaUnivision and the dividend we get from our preferred shares, but it’s mostly peso-denominated. And on the expense and outflow side, it’s mostly – I guess, the most important line item would be CapEx, which is in a significant percentage is dollar-denominated. But in that sense, we try to use hedging to manage our exposure to that risk. And again, our large dollar-denominated balance also helps us have some flexibility on that side base.
Operator: And our next question will come from Marcelo Santos with JPMorgan.
Marcelo Santos: I wanted to ask about the pricing environment in Cable. How you were dealing with price increases, especially in this tough environment -- tough economic environment? And the second question is, if you could comment how is your performance on the new areas that you entered with cable in the new cities. How is the business plan developing there?
Alfonso de Angoitia: Thank you, Marcelo. I'll ask Pepe Antonio to answer both questions. What I can say as to your second question, and of course, Pepe Antonio can expand on what I say is that, as you know, we grew in terms of homes pass, 2 million homes last year, where we invested $200 million. This year, we'll continue with 600,000 new homes in addition to the $2 million. And we have been growing in terms of penetration. We're happy with the results. You have taken in some places, longer than we have expected. But now I think we're looking at the right trends and things are going in the right direction. So I'll ask Pepe Antonio to expand on -- I mean, to answer your first question and expand on second.
Pepe Antonio Gonzalez: Thank you very much, Alfonso. I think the price – the price environment in the sector is interesting because there are 2 opposing forces. On the one hand, we are seeing an increasingly more competitive environment, which pushes the prices downwards of city steady. But on the other hand, we are also seeing increases in inflation in Mexico and the rest of the world. So for this year, our competitors increased their price. We have resisted our increases to increase our prices. We wanted to keep our products realigned. And as I mentioned in my first intervention, we believe we’re finding the sweet spot of where our products should be, quality, speed and the prices. As we move forward, it will depend on how long this inflationary period is paid, and we may have to adjust. What I can say on the competitive part is that we have reacted swiftly. We tended to have natural prices. And now we are monitoring the competition by package and by region, and reacting accordingly with success, I believe. So I think that’s the way we are approaching the price environment coming forward in the next few months. Whereas to the new areas, as Alfonso said, I think that we have tremendous success. In some areas, notably where we were the last ones to come in. The ramp-up process was lower than we expected and definitely that we want it. But in the last few months, even in those areas, we have seen an acceleration in the penetration in the variant. And in the areas where we were not the last one, the results have been better than expected. So we’re very happy, and I think we will continue. Well, we will continue to expand opportunistically and with laser focus on where we have a competitive advantage. One last thing that I want to mention is that we will have – we will increase our home pass expansion from our – from our budget from about 700,000 to 800,000 homes passed this year. And this is in a steady state. We hope we can maintain this towards the future, and that’s a healthy growth path moving forward.
Operator: And our next question will come from Alejandro Chavelas with Credit Suisse.
Alejandro Chavelas: Most of my questions have been answered. Just one on Cable. Can you share more on the terms of your exclusive distribution agreements with ViX? For example, what the wholesale lease can be and when the user will be recognized for the cost base? Anything on that front is very helpful.
Alfonso de Angoitia: Thank you, Alejandro. I'll ask Pepe Antonio to expand on what I say. I think it's great that we'll be able to bundle ViX Plus with other products that DC is offering, as we have done with other aggregators, but with a special emphasis on this one. ViX Plus is a fantastic distribution platform. It will have, as I have mentioned, tremendous amount of content from our library. It has a 24/7 news program, it has sports will have exclusive games of the Mexican Soccer League among other things. And that, together with premium content that we're producing specifically for the platform. So it will be the #1 platform in terms of content in Spanish, in the world, and of course, in Mexico. So it's great that DC will be able to bundle it with its own offerings. So I'll ask Pepe Antonio to expand on that.
Pepe Antonio Gonzalez: Thank you. Thank you very much, Alfonso. As Alfonso said, we are very, very excited about the opportunity of partnering with TelevisaUnivision as a distributor of ViX. In fact, our advertising campaign has a slogan that easy is the house of ViX in Mexico. I can't provide the numerical details of our deal with them, but I can say that it will help us and it will help them. We have a huge date that will help distribute ViX 6 million customers. So 6 million potential people potential customers will use this. And at the same time, it will be a differentiator for us, for people to choose us over our competitors because as Alfonso said, ViX is a tremendous platform, and it's a great platform that will help us expand. One of the things that we have stated we had an exclusive deal for the inauguration of ViX in Mexico, and we are taking advantage of that to promote this and also to promote our business.
Alfonso de Angoitia: Yes. On top of that, I think -- I'm sorry. Alejandro, are you there?
Alejandro Chavelas: Yes, sorry. No, sorry. Go ahead.
Alfonso de Angoitia: Yes. On top of that, of course, all the Blim, which is the previous platform that we had, which easy bundled, almost paying subscribers that we have there are going to be transferred into ViX. So those are 700,000 subscribers that were Blim subscribers and that will immediately become ViX Plus subscribers. So that will add to ViX Plus’ base.
Operator: And our next question will come from Carlos Legarreta with GBM.
Carlos Legarreta : I have 2 questions on the Cable type. First of all, what have been the dynamics on the mass market, particularly in markets where your cable competitor is entering? And secondly, was the growth in Cable enterprise, excluding the Red Jalisco in line with the 5% mentioned last quarter?
Alfonso de Angoitia: Thank you, Carlos. I'll ask Pepe Antonio to answer both questions.
Pepe Antonio Gonzalez: Thank you, Carlos for the question. Well, I mean, all the investments that EC has made in the last years only historical basic investments made in its network have meant that we have been able to act swiftly and quickly to areas where we have increased competition. A significant part of our network, over 60% of our network is fiber deep. So it allows us to keeping our HFC network to very quickly now the act and have a plan where we can increase fees where we have increased competition. So we have done so in the areas where we were -- our competitors have entered, notably in Mexico City. Mexico City is fully fiber deep. So that's very -- that's ready for us to increase fees. So I think we have kept our customer base. Our churn has remained stable, coupled with all the other actions that we have done nationally, I think we are very happy with the fact that we have managed to increase sales significantly while maintaining churn at a stable level, and in fact, with signs of a decrease. So that's what I have to say. The second part of your question was?
Carlos Legarreta : What would have been the growth in price part without...
Pepe Antonio Gonzalez: Yes. The Red Jalisco was a very large project. And it took the – and the main projects for the enterprise segment. This quarter, the growth in revenues for the enterprise segment would have been 1.7%, instead of the negative 18.8%. And the EBITDA would have been 12.4%, instead of the negative 26%. What we foresee in the next quarter because of the project cycles and the efforts we have made to include new projects, if we expect mid-single-digit growth quarter-on-quarter in revenues for the next few quarters. But one of the things we should say is that Red Jalisco was a very large project with an important EBITDA contribution. So the EBITDA contribution is still going to remain a challenge for the rest of the year.
Operator: And this will conclude our question-and-answer session. I'd like to turn the conference back over to the management team for any closing remarks.
Alfonso de Angoitia: Well, I would like to thank everyone for joining us today. As always, feel free to contact us with any additional questions that you may have. And well, I wish you a very happy end of the summer.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines at this time.